Operator: Hello, ladies and gentlemen. Thank you for standing by for the Fourth Quarter and Fiscal Year 2024 Earnings Conference Call for XPeng Inc. At this time, all participants are in listen-only mode. After management's remarks there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the call over to your host, Mr. Alex Xie, Head of Investor Relations, Capital Markets of the company. Please go ahead, Alex.
Alex Xie: Thank you. Hello, everyone, and welcome to XPeng's fourth quarter and fiscal year 2024 earnings conference call. Our financial and operating results were issued via Newswire Services earlier today and available online. You can also view the earnings press release by visiting the IR section of our website at ir.xiaopeng.com. Participants on today's call from our management will include Co-Founder, Chairman and CEO, Mr. He Xiaopeng; Vice Chairman and President, Dr. Brian Gu; Vice President of Corporate Finance and VW Projects, Mr. Charles Zhang; Vice President of Finance and Accounting, Mr. James Wu, and myself. Management will begin with prepared remarks, and the call will conclude with a Q&A session. A webcast replay of this conference call will be available on the IR section of our website. Before we continue, please note that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in the relevant public filings of the company as filed with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please also note that XPeng's earnings press release and this conference call include the disclosure of unaudited GAAP financial measures, as well as unaudited non-GAAP financial measures. XPeng's earnings press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. I will now turn the call over to our Co-Founder, Chairman and CEO, Mr. He Xiaopeng. Please go ahead.
He Xiaopeng: [Foreign Language] [interpreted] Hello, everyone. I'm He Xiaopeng. In the fourth quarter of 2024, we achieved significant milestones, including a record 91,507 vehicle deliveries in a single quarter, six consecutive quarters of improving vehicle margins and over RMB4 billion in free cash flow in the second half of the year. These results highlight our significant progress in scaling, organizational improvement and strategic execution. As we move into 2025, XPeng has topped monthly deliveries among China's emerging EV companies for two consecutive months, demonstrating our robust momentum. I believe that the key to achieving long term goals lies in steady progress. This year, I'll dedicate myself to further enhancing XPeng's organizational capacity, user centric product development, AI and automotive technology, commercialization and globalization. In our last earnings call and AI Tech Day, I emphasized that the next decade in the automaking industry will be the era of AI. And by 2025, Advanced AI models will revolutionize autonomous driving. The AI advancement led by China in the first quarter of this year has only strengthened my conviction. I'm now more confident than ever in XPeng's strategy and technology roadmap for AI large model in the physical world. We've developed a cloud based foundational model that boasts tens of billions of parameters, leveraging over 100 million kilometers of real driving data for pre training. This marks an unprecedented scale of model parameters and data volume in the field of autonomous driving in China. To further enhanced the model's generalization capabilities and its ability to manage long tail scenarios, we employ reinforcement learning techniques. We then implement the model in vehicles applying distillation, pruning and quantization techniques and have successfully boosted the model's accuracy by over 100%. In January 2025, DeepSeek R1 made significant strides in large language models, advancing AI capabilities in the digital realm. Much of its technology roadmap resonates with ours. I'm thrilled to see that large models are integrating in various industries and XPeng is exploring the frontier of technology together with leading AI tech companies from different fields. I truly believe AI will transform the automotive industry in a few years' time, speeding up the development of L3 and L4 autonomous driving. Additionally, I see a growing trend of smart vehicles and Embodied AI evolving together, and smart vehicles may pave the way for humanoid robots. I'm confident that all future smart cars will be Embodied AI vehicles. My goal for this decade is to build XPeng into an AI empowered global automotive company and a smart technology brand cherished by users worldwide. We're currently undergoing a transformational shift from the era of vehicle electrification to the era of AI. If 2025 marks the beginning of the AI application, then XPeng's in house developed AI vehicles and humanoid robots will be two of the most significant applications of AI in the physical world. I believe that a top AI company should possess cutting edge full stack software and hardware capabilities and be able to iterate closed loop data effectively across large cloud based AI models, in vehicle models, vehicle electronic architecture or EEA and system on chips or SoC. We expect to begin mass production of our self-developed Turing chip, which, by the way, is progressing really well for vehicles, flying cars and humanoid robots this year. This chip is also designed for swift deployment across global markets and diverse scenarios. The Turing chip combined with our full stack in house developed software and hardware will enable XPeng to fully leverage scaling law of our vehicles. Our model architecture will not only remain a generation ahead of the industry, but the effective parameters used in our vehicles will also be dozens of times larger than those of our competitors, creating a significant gap between us and them. I believe that in the second half of this year, XPeng will be the first in China to offer a smart driving experience that boast software capabilities and user experience equivalent to L3 autonomous driving. L3 Autonomy will generate strong user demand and exceptional user loyalty, marking an iPhone 4 moment for AI defined cars. Additionally, in 2026, we plan to mass produce vehicle models that will support L4 autonomous driving in low speed scenarios. True success will be achieved when smart driving earns the trust of a broad range of family users, so even those from my parents' generation can use it competently and frequently. An interesting figure to share with you is that, starting from 2025, the penetration rate of Advanced Urban Smart Driving among new car buyers in China will exceed 10% for the first time, marking a turning point in the demand for smart driving. This growth trend is expected to be nonlinear, presenting a significant opportunity for us. We're well prepared in terms of technology, cost and model lineup to rapidly ramp up the sales of AI vehicles and promote the global adoption of AI powered smart driving. From a technology standpoint, XPeng and Tesla are the only two companies worldwide that are capable of providing globally reliable AI smart driving experience without relying on high definition maps or LiDAR and using a single software suite across the vehicle models. Going forward, we look forward to competing alongside the world's leading AI autonomous driving companies in both the Chinese and global markets, jointly accelerating the penetration and adoption of AI driven autonomous driving technologies. Starting from the P7+, all new X9 models including the recently launched 2025 G6 and G9 will come with industry leading pure vision based AI smart driving as a standard feature across all trims, no extra costs or add ons. Our upcoming Mona M03 Max set to launch in May will lower the entry barrier for urban AI smart driving to the RMB150,000 range for the first time, making advanced vehicle technology more accessible to younger consumers. By integrating cutting edge AI technology with a well-developed and highly efficient platform based approach, XPeng is democratizing AI technology across the widest price range, making it affordable and reliable for a broad base of ordinary users. As the AI boom accelerates over the next three years, we'll focus on refining, differentiating and globalizing our well defined product portfolio. This will enable us to achieve rapid sales growth and scale leadership through our three year product cycle, while also ensuring sustainable profitability. Starting in 2025, we plan to launch new models or updated versions every quarter, all equipped with XPeng's latest next gen AI technologies. On March 13, we launched a new 2025 G6 and G9. Their comprehensive upgrades and top tier product capabilities have been widely recognized and appreciated by our users. Orders continue to pile up and have exceeded our expectations. Additionally, the surge in store visits following the new model launches has driven an increase in demand for our entire lineup. We plan to begin deliveries of the new G6 on March 21 and we're currently working closely with our supply chain to ramp up production capacity ensuring that more customers can receive their vehicles as soon as possible. Next, our Mona M03, G7 and X9 will introduce new Max streams and launch new models for our facelift. I'm confident that our strong product offerings represented by the M03, G6, G7, P7+, G9 and X9 will respectively cater to the diverse needs of young consumers, families and those seeking premium upgrades ultimately helping us increase our market share across diverse market segments. With the deliveries of our new models and updated versions ramping up, I expect ourselves to steadily navigate a transitional period of product generational change, continue to grow and reach new highs in the second quarter. In the second half of the year, we plan to deliver several new products, including battery electric vehicles or BEVs and Kunpeng Super Electric Vehicles. Most of our models will feature dual energy or power significantly broadening our addressable market through super electric models. By the end of 2026, we'll have a comprehensive product lineup across the RMB100,000 to RMB500,000 price range covering all mainstream segments from compact to large models. We are also thrilled to report that our design center in Shanghai is now operational and the team is growing rapidly. The integration of art and technology is gradually unleashing its full potential. I believe our new models will impress users with their aesthetics and refined perception. Additionally, the development of our new models will adhere to thorough platform based approach, sharing a unified set of underlying technologies including AI driven smart driving, AI cockpit, EEA and AI powered powertrain. This will enable efficient R&D advancement and strong economies of scale. Our growth momentum in overseas markets is also strong and there is still significant potential for both electrification and smart technologies. In 2024, XPeng's overseas vehicle sales exceeded 20,000 units, ranking first in export volume among China's emerging EV brands and also leading in the export of China's mid to high end BEV. I want to express my heartfelt gratitude to all XPeng owners around the world for their unwavering support and passion for our brand. Looking ahead to 2025, our overseas business milestones include doubling our sales and establishing over 300 sales and service stores worldwide, double the number we had at the end of 2024. Beyond expanding our vehicle sales globally, we're committed to establishing ourselves as a leader in advanced technology and high quality. In 2025, we'll set up new overseas R&D center and commence our overseas research and testing for our Turing AI powered smart driving. Our goal is to bring XPeng's AI smart driving capabilities to more countries and users around the world in 2026 and beyond, also ensuring compliance with local regulations. With the launch of more competitive products and ongoing global expansion, I'm confident that XPeng's total sales in 2025 will more than double that of 2024. This will significantly increase our market share in both the Chinese and global smart EV sectors and establish us as a leading AI automotive brand widely recognized by consumers. Alongside our growth, ongoing technology driven cost reductions and economies of scale will help further improve our vehicle margins in 2025. This allows us to continue our investment in AI research and development, while moving towards profitability in the fourth quarter. In the long run, I believe AI will evolve from being just an assistant to becoming a crucial part of our social infrastructure, woven into the fabric of our daily lives. When I think about the future of an AI driven mobility ecosystem, I envision driverless vehicles cruising through cities, flying cars for intercity travel and humanoid robots integrated into our factories and communities. Regarding my strategic plan for XPeng, I have identified three primary growth trajectories. First, we're working on AI powered vehicles, equipping our cars with cutting edge AI technology. Second, we're focusing on global market expansion, actively broadening our presence beyond China and into international markets. Lastly, we're dedicated to the development of humanoid robots that can seamlessly integrate with the automotive industry. Our amazing team is committed to excelling in each of these areas, putting in the hard work to deliver the best AI driven products to consumers around the world and to provide greater value overall. We anticipate that our total deliveries for the first quarter of 2025 will be between 91,000 and 93,000 units, reflecting a year-over-year increase of 317% to 326.2%. At the same time, we forecast our total revenue to fall between RMB15 billion and RMB15.7 billion, which represents a year-over-year growth of 129% to 139%. Thank you, everyone. With that, I'll now turn the call over to our VP of Finance, Mr. James, who will discuss our financial performance for the fourth quarter of 2024.
James Wu: Thank you, Xiaopeng. Now let me provide a brief overview of our financial results for the fourth quarter of 2024. I'll reference RMB only in my discussion today unless otherwise stated. Our total revenues were RMB16.11 billion for the fourth quarter of 2024, an increase of 23.4% year-over-year and an increase of 59.4% quarter-over-quarter. Revenues from vehicle sales were RMB14.67 billion for the fourth quarter of 2024, an increase of 20% year-over-year and an increase of 66.8% quarter-over-quarter. The year-over-year and quarter-over-quarter increases were mainly attributable to our higher deliveries. Revenues from services and others were RMB1.43 billion for the fourth quarter of 2024, representing an increase of 74.4% year-over-year and an increase of 9.7% quarter-over-quarter. The year-over-year increase was mainly attributable to the increased revenue from technical R&D services related to the Volkswagen Group. The quarter-over-quarter increase was mainly attributable to the increased revenues of maintenance services and auto financing services. Gross margin was 14.4% for the fourth quarter of 2024 compared with 6.2% for the same period of 2023 and 15.3% for the third quarter of 2024. Vehicle margin was 10% for the fourth quarter of 2024 compared with 4.1% for the same period of 2023 and 8.6% for the third quarter of 2024. The year-over-year and quarter-over-quarter increases were mainly attributable to the cost reduction. R&D expenses were RMB2.01 billion for the fourth quarter of 2024, representing an increase of 53.4% year-over-year and an increase of 22.9% quarter-over-quarter. The year-over-year and quarter-over-quarter increases were mainly due to higher expenses related to the development of new vehicle models as the company expanded its product portfolio to support future growth. SG&A expenses were RMB2.28 billion for the fourth quarter of 2024, representing an increase of 17.5% year-over-year and an increase of 39.3% quarter-over-quarter. The year-over-year and quarter-over-quarter increases were mainly attributable to the higher commissions paid to the franchise stores, driven by our higher sales volume. As a result of the foregoing, loss from operations was RMB1.56 billion for the fourth quarter of 2024 compared with RMB2.05 billion year-over-year and RMB1.85 billion quarter-over-quarter. Net loss was RMB1.33 billion for the fourth quarter of 2024 compared with RMB1.35 billion year-over-year and $1.81 billion quarter-over-quarter. As of December 31, 2024, our company had cash and cash equivalents, restricted cash, short term investments and time deposits in total of RMB42 billion. To be mindful of the length of our earnings call, I would encourage listeners to refer to our earnings press release for more details on our fourth quarter and full year 2024 financial results. This concludes our prepared remarks. We'll now open the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] Your first question comes from Tim Hsiao with Morgan Stanley.
Tim Hsiao: [Foreign Language] My first question is about the autonomous driving. So with the 80 autonomous driving or autopilot functions, we call it commodity [indiscernible] AI democratization in China and an upcoming upgrade to Level 3 autonomous driving system, can really help to widen the gaps between the leaders and the lagers or it will remain at a tight race over time? That's my first question. Thank you.
He Xiaopeng: [Foreign Language] [interpreted] First of all, thank you so much for your question. Indeed, we have seen for the past several months that basically all OEMs in China have made huge announcement of entering the realm of smart driving, which is really exciting because when you look back at 2020 or 2021, people were still talking about the future being just new energy vehicle instead of traditional ICE. And right now, we are actually in a new generation of technology advancement. And I believe that this is going to trigger a wider adoption of smart driving for the whole society. All people, all consumers will become more and more interesting -- interested in understanding what smart driving is and what ADAS really is and what kind of experience it's going to generate and bring forth to our society. And actually during the past period of time, I think that a lot of the so called smart driving capability was limited to high speed driving. I mean, highway driving and also auto parking, which already achieved a lot of progress. However, since last year, our launch of the so called AI plus vehicle or AI empowered vehicle, which really allow AI capability to be embodied in vehicle in the physical world. And it comes as a standard feature in our lineup to have this high level advanced ADAS capability, not only in the software, but also in the hardware as well. And I believe this series of change is going to allow AI vehicles to actually become AI agent and that will also bring forth a lot of unique capabilities that people have longed for or have never envisioned to be able to have. And as regard to the second part of your question, which is how do we view L3 capability as a turning point? First of all, I believe that first of all, it represents an advancement in technology, not only in the software, but also in the hardware and the integration of both as well. And also the model capability, large model capability, I believe will be way higher than even the advanced level of L2 right now, maybe by 10 times or even more. And that is definitely very clear and foreseeable. And also another point that I want to mention is that, when we look at, as I mentioned in my prepared remarks that when the whole adoption rate or penetration rate of high level autonomous driving in the market reaching 10%, it's going to generate a lot of user following up and understanding of advanced capability of smart driving. And when it comes to making the purchase decision, people is going to more and more prioritize having this advanced level of ADAS capability. I'm going to pause in here and I'll continue to answer your question. And I think in the foreseeable future you're going to see that XPeng is going to create bigger and bigger gaps between ourselves and our competitors from multiple perspectives. First one, we have the capability to do full stack self-development and we are able to leverage all resources across different domain and different scenarios. If when we look at that, when we claim to have the full stack of development capability, if it was 100 points, right now we're looking at 30,000 points. The reason for that is because we are looking at huge data and also large model. And that kind of smart driving capability is going to require closed loop -- end to end closed loop capability across different domains from the cloud, to in vehicle, to data, to chip, system on chip, etcetera, and also your engineering and your hardware. And because of our early vision and also early investment in our resources and time and capability that we invested way ahead of our competitors, we are able to create a very significant huge, I mean, first mover advantage. Another big advantage that we're going to have is our capability of doing smart driving combined with our smart cockpit, our platform, our powertrains, and also we're able to integrate not just vertically, but horizontally as well, which can also create a lot of value because it requires a lot of cross domain self-development capability. Another area that I want to highlight, which is advantageous to ourselves is that, when we look at AI plus vehicles, we actually leverage one platform to achieve all the capabilities I just mentioned, which allow us to have higher efficiency of iterating our data and capability in the future when data explode. And another aspect that I want to mention is that, when we first envision AI plus vehicle, we already have included not only the Chinese market but the global market. So when it comes to the deployment of our capability, the efficiency and the implementation and execution, we're going to have very significant first mover advantage in terms of globalization as well. But the list goes on and on and on. I mean, in summary, I just want to highlight that when it comes to advanced ADAS capability, we are going to create a huge gap between ourselves and our competitors. Thank you.
Tim Hsiao: [Foreign Language] So my second question is about the non-vehicle applications. Are we going to see any meaningful synergy across excess investment in AI and applications, i.e, autonomous vehicles humanoid and [EVOLT] (ph)? And when are we going to see value contribution from non-vehicle products? And whether those non-vehicle projects will lead to a more meaningful increase in R&D and other operating expenses in the following quarters? That's my second question. Thank you.
He Xiaopeng: [Foreign Language] [interpreted] Thank you. Indeed, as we mentioned, our long term vision for the company is to become an explorer of future mobility. And on a deeper level, we are actually exploring the future ecosystem of mobility, which means that we want to empower new energy together with AI, so that we can create a new way of travel. And that would include not only vehicles, but also flying vehicles or humanoid robots. And for the past ten years, we have been invested in not only smart driving vehicles, but also humanoid robots. And in the coming decade or two, we believe that a true intelligent or AI powered vehicle manufacturer will definitely be a producer or manufacturer of embodied intelligent new mobility or vehicle manufacturer. And that includes vehicle, flying cars or humanoid robots. And in this area, if you have a very early preparation, you can definitely create a lot of synergies across different domains. For example, what we are developing right now is the L3 capability for autonomous driving vehicles and this physical world AI model is definitely compatible with the humanoid robot L3 capability. The only difference is the data that they collect to train a model, which is different. But across many other domains and aspects, there's a lot of capabilities that can actually be shared. And also when you look across other domains from other aspects of developments on end to end AI development or global sales network and distribution network. And even when we look at the manufacturing capability and also capacity network, there's also a lot of synergy that you can have across different types of mobility. And I believe that by 2026, you are going to see excellent outcome from our synergy. As we mentioned in the prepared remarks previously, we believe that by 2026, we can actually mass produce our flying cars. And by that time, you'll be able to see that XPeng will be the first in China, if not globally, to actually mass produce flying cars. Thank you.
Tim Hsiao: Thank you, [indiscernible].
Operator: Your next question comes from Ming Hsun Lee with Bank of America.
Ming Hsun Lee: [Foreign Language] So my first question is still related to autonomous driving, especially right now we are seeing more and more auto companies. They are using end-to-end model or the old model to train their autonomous driving system. So is it possible that the leading AD companies and also the companies who are behind, is it possible that the technology gap to be narrow? And also for XPeng, because you will start to use your Turing chip this year, so besides the cost control, how can this chip help you to advance your AI AD capability? Thank you.
He Xiaopeng: [Foreign Language] [interpreted] Thank you. Actually the first part of your question sounded similar to some of the previous questions. I'm trying to -- I'm going to respond to both of your questions at once. First of all, after the emergence of high level autonomous driving or smart driving, I believe that for any players in the automotive industry, you will have to have the so called comprehensive full stack self-development capability. What I mean is that, you not only need to have the software capability, but also hardware and also your supply chain capability to allow you to work with the top tier suppliers and also have more and more resources. And having that comprehensive capability is going to draw a bigger advantage for you and create bigger gap between ourselves and our competitors, not to mention we have this very, very powerful data closed loop iteration capability and efficiency together with our profitability that we are generating right now and also our economies of scale, I believe is going to allow us to be even more competitive than ever before. In addition to that, we also have our self-developed chip and the capability to actually deploy it across multiple scenarios in different markets. That is why we are very, very confident in our competitive leadership because newcomers or existing incumbents are not easily surpassing us just because they may do better in one aspect or two, which really is very different than the digital competitive landscape as you mentioned in your question such as DeepSeek and other AI software company. The second part of your question, this is a very interesting question, how the self-developed Turing chip really empower our development for the future? Let me just give you an example. The reason why so many companies, OEMs or smartphone manufacturers try to develop their own chips is because you will realize not only can you gain cost benefits from developing your own chip, but also it allows you to customize a lot of your products and also have a lot of potential of development as well. And the fact that we are able to self-develop our Turing chip allow us to maintain our leadership. And because we do everything within our own system in the company, you realize that it also allows you to achieve energy benefits and efficiency and improve your performance of your products significantly. And you also can work with other players and other suppliers more effectively as well. It allow us to have the unparalleled self-development capability to also leverage data and have very effective and fast iteration. That is the reason why we really invest heavily in our self-developed Turing chip. Thank you.
Ming Hsun Lee: [Foreign Language] So my second question is related to the humanoid robot product development. So since you just mentioned that you plan to mass production your humanoid robot in 2026, so will you also start to sell the product next year? And currently, based on your development progress, which area you feel you are satisfied? And what is area that you think you still need to continue to make more progress before you officially launch it.
He Xiaopeng: [Foreign Language] [interpreted] Thank you for your question. This is definitely not an easy question to answer because it involves our next generation of technology and products. Now when we talk -- when we mentioned the mass production of humanoid robots by 2026, we're definitely talking about the commercial market and large production. But when it comes to the manufacturing of humanoid robots, it's actually more challenging than even producing AI vehicles. The reason for that is because it really requires fully integrated capabilities across the board, because a true humanoid robot requires not only the hardware, but also real data from our human activities and also simulated data. And it's very hard to achieve this comprehensive level of full integration. Right now, when you look at the available products in the market, a lot of our peers are actually focusing on the lower body motion capability of humanoid robot. And I believe that is still very limiting because it's restricting themselves to the Level 2 or L2 level kind of capability, which is not enough. For example, if you have an AI vehicle, but you don't fully have the AI capability integrated in it, you can still drive it because it's a car. But, a humanoid robot without the AI capability, without that L3 level capability, it's basically useless. So even the most -- for the most basic model of the humanoid robot, you still required a lot, including all of the joints that you have for your arm and also the motion capabilities that you need and the agility that you need for a robot, which is not easy to achieve when you set the target of achieving the L3 AI capability. And right now, what I can share with you is that, our humanoid robot R&D is progressing very well. And I believe that what we are able to do right now not only is just the basic lower body capability, but also legs, arms, mouth and also some very simple, but necessary brain capability. We call it the agent capability and the combination of basically humanoid or human -- semi human kind of brained intelligent capability that we incorporated in our humanoid robot. But that is very, very challenging and I hope that in maybe the near future I can share more update with you when we have more information. Thank you.
Ming Hsun Lee: [Foreign Language] That's all my question.
Operator: Your next question comes from Bin Wang with Deutsche Bank.
Bin Wang: [Foreign Language] My two questions are all about financial. The first one, can you provide first quarter gross margin guidance? And the second question is about your financial -- actually improvement in the long term investment, the other one is the fair value gains, which may be linked to the DiDi acquisition? Thank you.
James Wu: Hey, Wang, this is James. I'll answer your question. Yes, so what you've seen, first of all, in Q4 is our vehicle margin has improved versus the prior quarter. And this is primarily due to our cost reduction efforts as well as higher scale. As good forecasting on our [indiscernible] to improve our vehicle margin to be stand solidly on the double digit vehicle margin. Continue to -- on a cost front and as we continue to improve scale, we would benefit from manufacturing cost perspective as well. With regard to your second question on the DiDi related transaction, yes, there was an adjustment that was made. If you recall, as we closed the transaction with DiDi, there was a earn out mechanism that has baked in with DiDi that is linked to the delivery of vehicles registered in the DiDi platform for ride hailing purposes. Now as we introduce Mona product, we have made decisions internally and obviously aligned with DiDi that we are going to focus on the 2C customer rather than the 2B customer. And therefore, based on our assessment, the first milestone is unlikely to be met and therefore we have released that liability, which is what you've seen in our financials. Thank you.
Bin Wang: Another was long term investment.
He Xiaopeng: Long term investment, we've -- we had some long term investment revaluations based on our invested companies and the impact in the fourth quarter is relatively not significant, I would say. That would come from -- some would come from, for example, the [indiscernible] investment we had as an equity order and then there are a variety of other investments in that as well. But overall, the change in the fourth quarter is not as meaningful as what you've seen on the DiDi transaction release.
Bin Wang: Thank you. Very good.
James Wu: Thanks.
Operator: Your next question comes from [Tingyu Wu] (ph) with CITIC Securities.
Unidentified Analyst: [Foreign Language] Thank you for the opportunity to ask a question. And my first question is about the overseas market. And as we can see, the overseas market is one of the pillars for our long term development. And are we considering to build a factory or some kind of cooperation in terms of capacity overseas? Thank you.
Brian Gu: Hi. It's Brian. Let me address this question. Yes, it's correct that I think international expansion is a key pillar of our growth curve, Xiaopeng articulated in the earlier opening speech. We see there is tremendous demand for our high quality technology products for number of overseas markets. In fact, last year, I think we saw a very encouraging robust reception to our market entries into a number of new markets. So by the end of last year, we actually are now selling in over 30 countries globally. And also in a number of those countries, we saw our product has been positioned as the top three EV models in the respective categories. So, I think, so far, we are very encouraged by the response to our product and technology. In terms of going forward contribution, I think this year, we continue to see increased expansion of our global platform. Our number of stores internationally will double. I think our sales outlets will double from probably roughly 150 to probably over 300 this year. Our number of countries that we're selling our product will close to double as well. And also we anticipate close to also about doubling of our international sales as a consequence of all these expansion. We also are indeed invest in teams, invest in international sort of infrastructure. We mentioned that we're going to be building overseas R&D centers this year, which will help us to really recruit local talent to focus on international technology development. At the same time, we're also going to look at a number of local sort of potential production solutions. I think earlier, I think we have jointly announced with our partner in Indonesia to explore local manufacturing production solutions. We'll be also spending time in other regions. So we will obviously share with the market once we actually have these determined. But we do have a very detailed and also, I would say, aggressive plan to make sure that we are well positioned to enter these international markets with the products, with the brand and also with the local capabilities.
Bin Wang: [Foreign Language] Let me translate the question. My second question is about autonomous driving. And as we are going to enlarge the [MPI] (ph) to 100 kilometers by the end of this year, do we think it is an ultimate goal for us or we aim higher? And also do we consider -- how do we think of the possibilities for the OEMs or the insurance company to take some of the responsible of the driving systems? Thank you.
He Xiaopeng: [Foreign Language] [interpreted] Right. Thank you for your question. Now about the human intervention or takeover per 100 kilometers, I think this is quite an interesting paradox. We're trying to navigate ourselves within this paradox. The reason for that is because, first of all, it depends on the scenarios and the application of the ADAS capability. For example, if you are covering different scenarios, if you are driving within a neighborhood or within a parking lot, the possibility is that you're going to take over more than, let's say, if you were just driving on the highway. And also, it depends on who you are and what your purpose is with the testing and calculation of the human intervention, right? If you are a media, a member of the media, you're going to test the limit of the ADAS capability, which means that you're not going to take over unless it's absolutely necessary. However, for just an ordinary driver on, for example, daily commute, they might tend to take over more when they feel like it. So it really depends. And as an OEM, we need to really collect huge amount of data before we can claim that we can achieve, for example, Level 2 or Level 3 ADAS capability or some sort of milestone. And when you look at a lot of our peers, even when they claim that they have L2++ or even L3, L4 capabilities, their 100 kilometers human intervention rate might actually be quite high. And so it really depends. I think it is part of our next milestone. And even though achieving L3 capability can be challenging, I also believe -- I still believe that it's achievable depending on the next generation of model, computing power, capability and data. And with that combination, I believe that we can actually utilize and leverage ADAS more and more. And in the future, perhaps maybe on a weekly basis or on a monthly basis, we'll be driving maybe hundreds of kilometers or even thousands of kilometers. And if we only have to take over maybe once a week, two weeks or once a month, we definitely will promote the whole penetration rate of high level intelligent driving for the whole society. And I think this is our goal. And when we mentioned that we need to achieve such a milestone of one takeover per 100 kilometers of mileage or driving range, we're actually talking about some sort of measurement of our milestone. And essentially, we're talking about the L3 capability that we expect to achieve and then we believe and we are confident that we can achieve with our capability as well. And also we believe that we are way ahead of the game and we have a higher and more advanced capability than industry average. Thank you. And even for that, let me just add that it's only an initial or an early stage of L3 capability. And in the future, maybe we can only -- we only need to take over every 1,000 kilometers or tens of thousands of kilometers. Thank you. And about the second part of your questions regarding the safety issues of driving and also regulation and related accountability of traffic accidents, we actually have been exploring that very early on, including our proposal during the two sessions of the MPC. Recently, we have proposed to actually do more, so that we can really push the next generation of regulation that can allow us to have more -- have safer environment of driving. And we believe that in this process, China is going to lead the world in becoming a safer environment and having more regulation in this regard. Thank you.
Bin Wang: [Foreign Language]
Operator: Your next question comes from Nick Lai with J.P. Morgan.
Nick Lai: [Foreign Language] Let me translate my question very briefly. Chairman had mentioned that in a longer term we have three major business driver including AI car, overseas market and humanoid robot. Let's fast forward to say 2030, how should we think about the scope of each of these products? Thanks.
He Xiaopeng: [Foreign Language] [interpreted] Thank you. It's very hard to answer your question. What I can only say for now is that, in the coming ten years, meaning by 2034, we hope that half of our sales will come from China and the other half will come from the overseas market. We do have our internal plan and target for 2030, but unfortunately, I have to keep it confidential. And the second part of your -- I mean, the second aspect that I want to mention to respond to your question is regarding humanoid robot. It's very hard to predict when the turning point will come technologically and commercially when it comes to the mass production. We might have more visibility by the end of 2026 or end of 2027 when we saw the emergence of mass produced humanoid robots. I think right now, for now, things are still very foggy. We're probably at about 2010 or 2011 for new energy vehicles when it comes to comparing humanoid robot development. Thank you.
Nick Lai: [Foreign Language] And my second question is really about new policy announced by European government, lately on increasing overseas investment in European car market, especially in AI autonomous driving car. And given the partnership with Volkswagen, is there any new opportunity we can explore from there? Thanks.
Brian Gu: Hi, Nick. I think as we laid out our autonomous driving strategy before, I think we're setting up our overseas R&D center. And also we're in the process bringing our autonomous driving technology to the global customers. I think that we're -- right now we're setting up the infrastructure to start a preparation. I think in terms of the collaboration with Volkswagen, currently I think that we are -- I think our teams -- engineering teams are working really hard to push for the SOP of the G9 platform collaboration as well as the EEA collaboration. We do believe that there is a potential and also the industrial logic to collaborate in the potential overseas market. Thank you.
Operator: That does conclude our question-and-answer session. I'd like to turn the call back over to the company for closing remarks.
Alex Xie: Thank you once again for joining us today. If you have further questions, please feel free to contact XPeng's Investor Relations through the contact information provided on our website or the Piacente Financial Communications.
Operator: That does conclude our conference for today. Thank you for participating. You may disconnect your line.